Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter and Full Year 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time.  As a reminder, this conference is being recorded. I'd now like to turn the conference over to Katy Murray. Please go ahead.
Katy Murray: Good morning, everyone and welcome to our fourth quarter and full year 2020 investor call. I am joined by Robert Decherd, Chairman, President and Chief Executive Officer of A. H. Belo Corporation, and Grant Moise, Publisher and President of the Dallas Morning News, who are also available for Q&A. Yesterday afternoon we issued a press release announcing fourth quarter and full year 2020 results. We have posted this release on our website under the Investor Relations section. Unless otherwise specified, comparisons used on today's call measure fourth quarter 2020 and full year 2020 performance, against fourth quarter 2019 and full year 2019 performance. Our discussion today will include forward-looking statements.
Robert Decherd: Katy, thank you and good morning everyone. There are two unusual items in this year's proxy that will require shareholder approval. The first is authorization for the Board to affect a reverse stock split at that time and within a prescribed ratio, as the Directors deem to be in the best interest of the company and its shareholders. We announced on our investor call last October, that the company became non-compliant with New York Stock Exchange listing requirements as of the end of the third quarter of 2020. Katy has been working closely with the Exchange to engage and its procedures for addressing non-compliance. Most recently, we have involved the Company's outside counsel and investment bankers to identify actions the company can take to meet the listing requirements going forward. The Board reviewed all of these factors at a regular meeting last Thursday, and concluded that a reverse stock split is the best course of action, provided market conditions and other external factors are similar to what the Company is presently experiencing. A reverse stock split is commonly used in cases like ours. Katy will be in touch with our largest shareholder to solicit your support of this proposal, which will be described in detail in the preliminary proxy statement we expect to file next Tuesday, March 16. The second matter included in this year's proxy is a proposal to change the company name from A.H. Belo Corporation to Dallas News Corporation. While this new name aligns with the Company's specific purposes and adds another dimension to our brand strategy, the impetus is my conviction and my recommendation to the Board that we must collectively support our readers, our employees and our fellow citizens by embracing the social justice movement underway in America. Since I first gained influence over the Company's broadest priorities in the early 1980s, and throughout my 10 years as Chief Executive Officer, I have strived to set high standards for diversity, equity, and inclusion. Our company is often been a first mover at both the operating and corporate levels, and we recently redoubled our efforts as an enterprise, that, while smaller than before, is just as resolute about DEI. Over the course of 60 years, G.B. Dealey became one of the most eminent civic leaders in Dallas history. When Dealey bought our company in 1926, he kept the name of A.H. Belo. He had built up the business from the newspaper Belo purchased out right in 1881, the Galveston News. Belo was one of the most admired newspaper owners in America by the time of this death in 1901, and he has given Dealey the chance to embark on his own distinguished career, when he assigned Dealey to start up the Dallas Morning News in 1885, at the age of 26.
Operator:  And our first question will go to Chris Mooney with Wedbush Securities. Please go ahead.
Chris Mooney: Good morning all. And Robert, thank you for that very interesting history lesson. I didn't know what you were just telling us.
Robert Decherd: Well, that's just the surface.
Chris Mooney: Yes. Well, I would look forward to a conversation with more detail at some point. Since you were talking about the potential for a reverse stock split, would you first clarify exactly what the issue is with the New York Stock Exchange for us shareholders?
Robert Decherd: I will tag team that response with Katy. There are two standards that the Exchange has and we do not qualify for either presently, and then it also relates to stock price. So there is a combination of factors. The only way to cure the situation in our view, the Board's and our advisors, is to conduct a reverse stock split, get the price up to a level where we have ample cushion to anticipate future market conditions. But the simple reality is, we don't think we can get there in terms of compliance during the 18 months that we are permitted to remediate, if you will, the places where we're out of complaints, but let me ask Katy to elaborate on specifically those two factors.
Katy Murray: Good morning, Chris. The two standards are, and it's an either/or, you have to maintain a $50 million market cap over a 30-day average, and the other is, you have to maintain a stockholders equity of $50 million, as well. And at the end of October, or at the end of September, we fell below the stockholders equity, we had already fallen below the $50 million market cap 30-day average earlier in the year. And so, while we have an 18 month period of getting back in compliance with the New York Stock Exchange, as you know, a reverse stock split require shareholder approval.
Chris Mooney: Okay. I guess, I say I'll vote in favor, that's that. Not that I count that much. A whole list of questions, is there a bunch of people in queue? If not, I've got like five or six questions. Okay. I was on your website last night, you have listed 28 job openings, eight of them, I guess, in Campbell Center, so that would be Belo and Company 17 in Downtown, the Dallas Morning News 3 and Tulsa. And it also shows that you have the Denver location now, maybe you did before and I didn't realize it.
Katy Murray: So, Chris, you're correct. We do have personnel in Denver, we don't have an office in Denver, this is in the world of remote and working from anywhere. We've identified some talents, they are part of Belo and Company, and are revenue generators, and you are correct. We do have a number of openings in our News Department here. We also in Tulsa, as you know, that was the location of Cubic. So that is our creative agency, on our creative and strategy services, and we do have some opportunities and openings there. Again, it's a great market for us, where we can hire some talent, but I'm going to turn it over to Grant, as well, to let him add some commentary on that.
Grant Moise: Yes, I was going to say, Chris, obviously we've got positions that we're trying to fill. Yet, in the loss position that we're in, we're looking very closely at every position we fill and we often ask ourselves a question, was this a position that was more intended for our legacy business, or is it a position that can help us grow into the future with a digital-first mindset. Especially, being able to expand the areas like Denver, specifically, we have found that attracting tech talent and developer talent even big -- to broaden that base in the areas where we can have those employees is proven valuable to us in terms of finding the best talent in the digital-first business.
Chris Mooney: Okay. It's interesting, and can -- since you're on, can you comment about the -- I know there was a brief comment about Belo and Company. Can you give us some additional detail on how things are going there?
Grant Moise: Yes, Chris. I'm happy to. I think, let me start with the challenge, which is the print side of the business. We have some of our largest areas of our print advertisers, who especially, given the context of the pandemic. Obviously, we've had pressured businesses as a result of the two categories, I would highlight is our furniture category and grocery categories, which are rather large for us in print, and we've been in frequent communication of those advertisers. But on the furniture side, things like inventory has been so difficult that their advertising spend has gone down because they don't have enough inventory to market the volume of furniture that they would like to sell. Grocery has been a different challenge, where actually their demand for what they've had because of restaurant closures has gone up to where they have not had the need to advertise. I will tell you on the digital side, I've been very pleased with how much -- digital side has rebounded more quickly than the print side, and I think it was really reflected in a quicker bounce back that we saw in the fourth quarter. All of the signs we see are continuing to look positive on that digital growth, which I think we have just found to be much quicker to rebound in the print side.
Chris Mooney: Okay. Yes, and Belo and Co?
Grant Moise: Just with the Company overall, retaining the clients has been the number one piece of that equation. As you can remember, Chris, very well, if we rewind the clock about two years ago, we were experiencing significant client churn at Belo and Company, which was a big part of our problem of why we were having a trouble finding stability in those revenue lines. I'm very pleased to say, as Katy referred to in the script, that our top 15 advertisers between the fourth and first quarter, which is when we have our largest renewal periods on contracts, we have retained all of them. So the client retention has been our number one priority, keeping them is a very positive sign. Now, whatever their business model that's impacted by the pandemic, and when they choose to continue -- basically re-establish normal spending levels, as the pandemic hopefully continues to soften, I think it looks very positive for us because we have a loyalty of that client base. So I'm very, very pleased with the progress that has been made on the Belo and Company side.
Chris Mooney: And just briefly though, those 15 or whatever more, you have some time to retain a relationship with them, so they are revenue generating?
Grant Moise: We do. Yes, exactly. They're all revenue-based contracts.
Chris Mooney: Okay, great. Katy, on the pension plan, you've commented in the past that it may be as many as 10 years before we're required to make a payment. Can you comment about that? You said it would be several years. And then, is it possible to tell us what the allocation was between debt and equity, et cetera, coming into the new year?
Katy Murray: Absolutely. So, Chris, I'm really pleased to say that our pension plan, again, given a lot of very smart decisions made historically, our pension plan is over 90% funded, which is very different than a lot of our peer group. And from a payments perspective, I don't expect a payment in the next 10 years based on where we are. We have been looking at our investment allocation, and that has been part of our de-risking strategy. Last year, or a year before, we actually did move from 50-50 to a 45-55, 55 on the liability hedging. And to your question for this year, we have actually moved more significantly down the glide path and are now at a 10% asset return and a 90% hedging. It's important to note on this, though, that from an investment allocation, you have the flexibility to revisit that at any point in time, there are no fees to change that. It's just the fees of whatever the investment is that you may be, but the pension investment committee did feel that being 90% plus funded, we took the opportunity to take some of the gains that we saw on the asset side last year and see how the market perform.
Chris Mooney: Well, congratulations, you all seem to be doing a very good job of dealing with that. There is a line item in the income statement that seems to be getting larger as we --over the last couple of years. Other income ; what is that?
Katy Murray: Let me look at the other income -- other income, net. So that is going to be, one, we have interest income in there, and that's where our Charter Holdings note is, the interest is coming in. So that's predominantly what that number is, Chris, and the pension credit, that's the other item that's sitting in there, as well. But it really is the interest income. Right now, if you think about 2020, we have increased the interest that was 4.5%. So, almost $1 million this year compared to 2019 where we only had two quarters of interest payment. So that is the significant growth year-over-year; that's the Charter note.
Chris Mooney: Okay. Great, thank you. And on Charter, are they continuing the -- they started demolition, have they continued the build out phase in that -- in their first phase?
Robert Decherd: Chris, we are told, not having inspected the property ourselves, that the demolition of the Dallas Morning News building, the interior demolition, is essentially complete. That's a big project. So that would be well more than $1 million of demolition. Our further understanding is that the -- what's called the TXC  and building behind it, is essentially in the condition it was when we sold the building, it's occupiable in other words. There has been no further development on the site. You can imagine that the full stop of the pandemic caused Ray Washburne and Charter to suspend any active construction and they're revisiting as we're told, through civic organizations, revisiting exactly what the mix would be of uses there. But when you sort through it all, Ray has somewhere around $8 million to $9 million invested in this property. So, he has got a pretty, pretty big stake there.
Chris Mooney: Yes. And I would assume you'd be able to resell it if you get it back?
Robert Decherd: Sure, that end of downtown is coming along nicely. You may have seen recent announcements adjacent to the site. There are $200 million, $300 million total investments by other substantial individual investors, and backed by financial partners who are sophisticated in commercial development.
Chris Mooney: Yes, that part of downtown is doing quite well. Have you all had any further communication with Dolphin?
Robert Decherd: No.
Chris Mooney: Okay. Is it -- I have never actually -- I don't see them when I look at the holder's list, do they show as a different entities in Dolphin?
Katy Murray: Chris, we don't know either, but we do know that they're below 5%. But don't know exactly how the shares are held, and how many funds or names.
Chris Mooney: Okay. There was a fairly high-profile event in Australia recently, dealing with payment from Facebook to the publishers in Australia. Is there anything similar potentially, or happening in the US?
Robert Decherd: Chris, let me kick off that subject and Grant can amplify. Google is really the entity that's most prominent in everyone's thinking about how this might play out. Yes, there have been payments by Facebook including to us, and we talked about that last year. We don't want to be over-enthusiastic about this development, but it is very significant for the newspaper and print industry, print publications. This is really the centerpiece of 20 years of discussion, negotiation, maybe disagreement, about whether we own our content and should be paid for it, and if this continues to move in a positive direction, which Grant can describe, it certainly is a potential benefit for us and for any publisher with high-quality content. So this comes back to -- the value in the content is its quality and its breadth, which is what we have invested in all these years. As a result, we feel optimistic that we may be in a reasonably strong position here, along with the other publications that have a similar philosophy. Grant on the Board of the industry organization that's following this most closely, let him elaborate.
Grant Moise: Yes, Chris, it is something we've been focused on as an industry for quite some time, and we're extremely pleased to see that some of the momentum that happen, not only in Australia, but it also happened in France prior to that, and so we've been watching what's happening internationally, and then seeing when that will come to the United States. What is the most important about what happened in Australia is that News Corp has quite a few Australia Holdings in addition to the Wall Street Journal. And so, what was reported there obviously is that the Wall Street Journal also would be first, I believe, the first domestic publishing organization and newspaper to basically come to a licensing deal. Our hope is that begins the process of that now coming more deeply into the United States, so that happens across the board and from everything that I'm hearing is, that at least those early conversations are beginning, which is very positive.
Chris Mooney: Okay. Well, we remain hopeful. Let's see, Katy, are there any unusual or non-normal expenses expected during 2021?
Katy Murray: Chris, I can't think of anything that I would call out of the ordinary. Well, I would say though is that in 2020, we saw some real benefit from lower newsprint costs. What I would say is going into 2021, We are starting to see that newsprint pricing, they come under pressure, and we are paying close attention to that, that's really the only expense that I would say that we may see go the other way in 2021, as an increase versus the favorability that we saw in 2020. What I would say, on other expense lines, I would continue to see opportunity in the comp in the bin line, compensation and benefits, again, our head count is lower than where it has been. And from a trend perspective, obviously we'll continue to monitor that, but other than that, those are really the two key expense lines in our P&L, as you know.
Chris Mooney: Yes. And anything on the revenue side that would be positive or negative?
Katy Murray: There's nothing that I can call out. The variance that we have on the digital side, the Cars.com relationship ended in September of 2019. So that has now moved on, and so our year-over-year comparisons will no longer include that, nor on the commercial print side, that also happened in first quarter of 2019. So that variance is now moved. I think the biggest fluctuation you're going to see year-over-year is just the comps compared to 2020, especially in the second and third quarter. And just given the challenges that we saw and that goes back to what Grant said, and I'll let him add some comments on the revenue side.
Grant Moise: I was just going to say, Chris, I think we're in such a unique phase at this pandemic, which is seeing what categories -- for example, the tourism category was just devastated for us last year, we oftentimes will have quite a bit of travel advertising to Mexico. As an example, or ski areas of Colorado is an example. And so, I think it's just going to be a big question mark for us, seeing how things returned to normal and how quickly marketing budgets returned to normal. I feel that the lines of our subscription revenue are far more controllable for us then things from the advertising spend on the Belo and Company side.
Chris Mooney: Okay. And just trends going into this year, have you noted any improvement?
Katy Murray: What I would say on -- and I'll let Grant talk on this, but on circulation revenue, obviously, we've been very pleased with what we're seeing, not only with the growth on the digital subscriber but, as I mentioned, we were in a net add position for our subscribers and that has been a positive coming out of 2020.
Grant Moise: Yes, the only other thing I would say too, Chris, is on the ROP side of print, which is our display advertising inside the pages of the newspaper. I've been very pleased with seeing that rebound in the first couple of months of the year. Our insert or pre-print line is not redone quite to the same rate that the ROP line is.
Chris Mooney: Well, thank you all. I think I've covered up my legal pad here so I'll stop for now, but thank you. Have a good day.
Operator: And we'll go to Bill Nasgovitz with Heartland Advisors. Please go ahead.
Bill Nasgovitz : Well, thank you. Good morning, everybody. Congratulations on -- I missed that number in terms of print subs. What was that number again, Katy?
Katy Murray: We did not have the print sub number in there, but our print subscription, if you think about -- kind of our Sunday is our stake-hold ; it's probably right around 100,000. And so when you think about that, plus our digital, we're north of 150,000 when you look at our total membership which is how we're looking at the business.
Bill Nasgovitz : Okay. Well, congratulations on the digital growth too, and keeping the print subs. So what would be the average selling price then for digital customer today?
Grant Moise: Digital customer, Bill, and good morning, it's Grant, is about $13 -- a little over $13, about $13.30 a month, as opposed to our print side, which is now averaging around $42 a month.
Bill Nasgovitz : Okay. And then, any trends that you'd like to comment on in terms of digital growth, and also eventual price increases?
Grant Moise: Yes, Bill, part of what we've tried to do is not only on the volume, and my team here preaches this all the time, you can go discount your digital subscriptions to $1 a year and we could be adding 10s of 1,000s, it just wouldn't -- it wouldn't benefit you as you would by getting them to pay you $14 or more per month. I've been pleased that we have gotten, and improved actually our rate on the digital and print side more in the past 18 months then we had in our two -- about three years prior. So I'm really pleased. We're trying to always balance that rate versus volume equation and so, not only are we very pleased about the volumes that we experienced in 2020, but we're also equally as pleased with how we've been able to retain those members at a higher rate. So we're always just trying to figure out where is that optimal balance.
Bill Nasgovitz: Okay, in your release, Grant, you and Katy were mentioned I think by Robert, as continue to make investments in operations to enable the company to build sustainable profitable digital business, and you're going to be defining this path. Could you just amplify on what that path might be, and what do we need to break this company even?
Grant Moise: Yes, I think, Bill, part of it is, we're trying to make investments in our growth areas and the easiest example of that is to talk about developers, people who are developing the digital product or the developers and engineers that are making the digital subscription and digital advertising parts of this equation work. We continue to need more of them. We continue to seek more of them. It's what I was referring to, even with Chris Mooney, saying that our footprint geographically we've expanded at times to allow ourselves to attract the best talent.  And so, I would say when we really talk about the investment, it's not only in the technology itself, where we moved to things like the Arc platform in 2020, which is the platform owned by the Washington Post Company and Jeff Bezos, but it's also the developers to develop on top of that platform so that our digital products can be second to none. We just know that for the type of prices that we are asking people, and will continue to ask those digital members to pay, that they're going to put us up against the most sophisticated digital products in the country and so we have to continue to improve. Not only do we have to continue to have first-class content, but it has to be within a first-class digital product. And so, those are the investments we need to make to ensure that our digital future is not only growing, but it's growing profitably.
Bill Nasgovitz: And Arc was added when?
Grant Moise: The Arc -- we launched what was called -- there is two pieces of Arc. There is the content management system, which we launched in the fourth quarter of 2019. And then, we launched on their subscription technology in the third quarter of 2020.
Bill Nasgovitz : So it's relatively new. Well, it sounds exciting. I know you touched on this, about $3.3 million was spent last year in terms of severance and impairment. And you don't anticipate anything close to that in this year?
Katy Murray: On the impairment side, we have impaired all goodwill and intangibles and the like. When we think about severance, that goes back to even that what you and Grant were just talking about. Grant and I continually look at the business, obviously aware of the market conditions, and realize the importance of what it's going to take to get back to profitability and being able to breakeven. I'm not sure at this point in time, whether that would include anything around having to do anything on head count, but as we look at this year, we don't have anything planned for severance right now, but continue to keep that in mind.
Robert Decherd: Bill, this is Robert, going back to the work we did in 2019 and, as you know, we had a very significant effort looking at with outside advisors, what the three, five, seven-year scenarios look like. The thing for anyone to follow from an investor standpoint, I think is the transition of the cost structure ultimately to align with a revenue-based driven more by digital subscriptions then print subscriptions. If anybody has the real timeline on that, call me, and not only from investors, anybody in the industry, but that's what everyone is looking at. We're in the early stages, I think, of that transition. But ultimately, when we talk about a sustainably profitable digital enterprise, it has to be one where the revenue generated by our digital subscriptions, digital members is, as Grant said, at the right price point can be increased over time, as we provide them value for their subscription and ultimately, get to a place where we are not as dependent on things that really are old school. Newsprint pricing, we have no control over in newsprint pricing, publishers never have. Years ago, we vertically integrated in all, we're in the newsprint business and invested in newsprint production plants and so forth. Even then we couldn't control. So, the beauty of the digital world is we have more control over more things, if we have a sufficient number of members at the right price point, and that's where we're trying to arrive as soon as possible.
Bill Nasgovitz : Well, on that point, Texas and Dallas too, of course, have been in the news nationally as a beneficiary of some macro mega trends going on in the country, and that has to have had a positive effect on the business. Can you amplify on that a bit?
Robert Decherd: Bill, we've had a lot of things go our way as an economy. But this is more about media habits, doesn't matter whether you're in South Dakota, Washington State, North Texas, and we're dealing with a generational shift, obviously, that's been underway for more than two decades. And what we have to do is capture first the interest of those cohorts, whichever  you want to put on them. And then, give them a reason to invest in a subscription to become a member. So the economies have boost, there are more people here -- there are more -- you could argue more middle and upper-income folks who are digitally-oriented. But we still got to go get them. And that's the challenge every newspaper has.
Bill Nasgovitz : All right. Congratulations on the move for the proposal for the Dallas name change. Congratulations. Perhaps I missed it, I haven't found your 10-K for the year. So what is the NOL?
Katy Murray: Our NOL going into this year is approximately $35 million, actually a little bit more than that, $37 million. Of that, $17 million expires in 2037 and then, $10 million has no expiration. And on the timing of the 10-K, we are working on that. Again, we were able to have the earnings call with the press release out for our financials are done, we're just working through the mechanics of getting the 10-K filed and hope to have that done as soon as possible.
Bill Nasgovitz : That would be helpful. Thank you. And then, finally, the Tribune is being bought out. What do you think of that development and how does that affect our business?
Robert Decherd: Bill, it doesn't affect our business, and I want to be even about this, the consolidation that's going on with private equity and hedge funds have created entities that are following a different strategy than ours. It's not about creating a digital business, as I just described, it's about the financial engineering approach, I think more so, and it has resulted in all sorts of disruptions in newspaper companies across the country. There is a tremendous amount of consolidation, but the quality component of content and how a newspaper, or a group of newspapers, goes to market exists only with a few companies at this point. And I'll spare you my view, of course, if that's good or bad for the country, but it's just a fact. And we purposely reduced the size of our company to focus on the Dallas Morning News where we believe we have the opportunity to succeed in this transition and where we think our long-standing commitment to delivering really outstanding news and information of projects and initiatives, such as the ones Katy mentioned earlier, is the way home. And I would not be as sanguine  about the financial engineering strategy, frankly.
Bill Nasgovitz : Okay, thank you. And then just finally, Katy, in your presentation. There are a lot of facts and figures there and trends that would be helpful for shareholders, if we could have a replay of that verbally, but also in print, that would be helpful, so that we don't miss any of the details.
Katy Murray: Absolutely. Bill, that should be on our website within, I would say, probably the next 24 to 48 hours. Not only the audio, but there will actually be a hard copy of that, as well.
Bill Nasgovitz : Perfect, thank you so much.
Operator:  And at this time there are no questions in queue. Please continue.
Katy Murray: Well, Stacey, thank you very much, I think we're coming up on the hour. We'd like to thank everybody for listening to our Fourth Quarter and Full Year Earnings and Investor Update, and look forward to keeping in touch with everybody in our next earning call after our first quarter. Thank you.
Robert Decherd: Thank you.
Operator: Thank you, ladies and gentlemen. That does conclude your conference for today. Thank you for your participation and for using AT&T Teleconference Center. You may now disconnect.